Executives: Robert Campbell - Vice President of Investor Relations and Treasurer Blake W. Nordstrom - Principal Executive Officer, President and Director Michael G. Koppel - Chief Financial Officer and Executive Vice President James F. Nordstrom - Executive Vice President and President of Nordstrom Direct Peter E. Nordstrom - Executive Vice President, Director and President of Merchandising Erik B. Nordstrom - Executive Vice President, Director and President of Stores
Analysts: Charles X. Grom - Deutsche Bank AG, Research Division Edward J. Yruma - KeyBanc Capital Markets Inc., Research Division Jennifer Black Lorraine Maikis Hutchinson - BofA Merrill Lynch, Research Division Paul Lejuez - Nomura Securities Co. Ltd., Research Division Barbara Wyckoff - CLSA Asia-Pacific Markets, Research Division Dorothy S. Lakner - Caris & Company, Inc., Research Division Michelle L. Clark - Morgan Stanley, Research Division Neely J.N. Tamminga - Piper Jaffray Companies, Research Division Robert S. Drbul - Barclays Capital, Research Division Paul Swinand - Morningstar Inc., Research Division Deborah L. Weinswig - Citigroup Inc, Research Division Lizabeth Dunn - Macquarie Research Richard Ellis Jaffe - Stifel, Nicolaus & Co., Inc., Research Division Erika K. Maschmeyer - Robert W. Baird & Co. Incorporated, Research Division Michael Exstein - Crédit Suisse AG, Research Division
Operator: Hello, and welcome to the Nordstrom's Fourth Quarter and Fiscal Year 2011 Conference Call. At the request of Nordstrom, today's conference call is being recorded. [Operator Instructions] And I would now like to introduce Rob Campbell, Treasurer and Vice President of Investor Relations for Nordstrom. You may begin, sir.
Robert Campbell: Hello, everyone, and thank you for joining us. Today's earnings call will last approximately 45 minutes and will include roughly 30 minutes for your questions. As a reminder, all forward-looking statements on this call are subject to risks and uncertainties that could cause the company's actual results to differ materially from the expectations and assumptions discussed due to a variety of factors that affect the company, including the risks specified in the company's most recently filed Forms 10-K and 10-Q. Participating in today's call are Blake Nordstrom, President of Nordstrom Inc.; and Mike Koppel, Executive Vice President and Chief Financial Officer, who will discuss the company's fourth quarter and full year performance and outlook for fiscal 2012.    During the Q&A session, we will be joined by Erik Nordstrom, President of Stores; Pete Nordstrom, President of Merchandising; and Jamie Nordstrom, President of Direct. Before we begin, I want to mention that Mike will be using slides that can be viewed within the Investor Relations section of our nordstrom.com website. If you are listening to this conference call as a webcast, you should already see the title slide.    With that, I'll turn the call over to Blake.
Blake W. Nordstrom: Thank you, Rob, and good afternoon, everyone. As we've communicated in the past, we recognize that customers have a growing number of options regarding their shopping experience. The consistency of the customer experience, both in-store and online, and things like selection, multichannel capabilities, personalization, speed, convenience and price, all are becoming more important. Simply stated, we want to be the retailer of choice whenever, however, wherever customers choose to shop by providing a superior customer experience. As we continue our efforts to improve the level of service in our stores, we also have accelerated our investments to elevate the customer experience in e-commerce. This is where we saw the highest year-over-year sales increase in 2011 and it's where we expect the strongest growth in the future. There were a number of highlights in 2011. For the full year, our company achieved an all-time high in sales, which exceeded $10 billion. We ended the year with same-store sales up 7.2% on top of the 8.1% increase that we achieved in 2010. Our regular-priced selling remains at historically high levels, which is indicative of the integrity of our pricing and the fashion and newness in our offering.    We continue to challenge ourselves on inventory turn. In 2011, we reached 5.6x, matching our all-time best in 2010 and a tribute to the high level of execution of our merchants. Our company performance reflects the progress we've made in many parts of our business. Full-line grew same-store sales of 6% while opening new stores in Delaware, Nashville and a second store in St. Louis. We continued our efforts to connect salespeople with more customers to make the shopping experience better. Over the last 3 years, we've roughly tripled the number of personal stylists in our program and now have close to 1,300. They represent some of our best salespeople and are leading our efforts in building one-on-one relationships with our customers and improving the overall customer experience. We enhanced the ability of our salespeople to serve customers with the rollout of mobile point-of-sale devices and e-receipt capabilities.    Part of our effort in connecting and deepening relationships with new and existing customers is through our Fashion Rewards program, with over 2.6 million active participants. A month ago, we announced a number of enhancements which give customers more control over how and when they can earn rewards and extends more benefits to our cardholders.    Our Direct business grew close to 30% in 2011. We took a number of steps during the year to raise our level of service and accelerate overall e-commerce growth. We launched online free shipping and free returns in September, which had a significant impact on direct sales and generated incremental profit. We followed that with a small pilot of same-day delivery for online orders, and we're continuing to build the knowledge in this area. We implemented a Nordstrom app for iPhones and Androids, upgraded our website while enhancing our mobile website to make both easier to use and improve the speed and quality of the delivery of merchandise to customers.    We're also adding close to 400 employees with e-commerce expertise and experience to complement our existing Direct team, giving us the combined capabilities necessary to drive growth in this space. At this time last year, we announced our acquisition of HauteLook. It gives us access to an emerging, growing channel and allowed us to partner with a talented team. The business, as a standalone, generated a sales increase of roughly 60% during the year while nearly doubling its membership to over 7.5 million today. We anticipate robust growth in this business to continue with ongoing opportunities to share learnings that benefit us across channels. Several years ago, we accelerated the expansion of our Rack business, and over this period, our market share has grown significantly. The Rack crossed the $2 billion threshold in 2011. We opened 18 stores during the year, leading to 21% total sales growth. Our Rack business also generated growing increases in same-store sales throughout much of the year, reflecting ongoing initiatives to get the best product at the best price.    As far as initiatives for 2012, we are planning the following: adding to the functionality of mobile point-of-sale devices and expanding their usage in full-line and Rack stores, enhancing the overall Web and mobile Web experience, building out our IT infrastructure to fuel our e-commerce growth, beginning implementation of enhanced tools to improve the initial allocation and assortment of inventory, expanding online merchandise selection and developing a more customized approach to all aspects of our engagement with customers.    In closing, though we're moving faster than we ever have, we remain committed to the level of discipline and execution that have served us well. We're encouraged by the benefits we're already beginning to see from the investments we're making from the positive response we're getting from our customers and the strength of our top line performance. We are confident that our heightened focus in e-commerce, coupled with ongoing opportunities in our stores, will enable us to further enhance our ability to serve and remain relevant with customers. In doing so, we're enhancing what we believe is a terrific foundation to best serve our customers today and in the future. I'd now like to turn it over to Mike.
Michael G. Koppel: Thanks, Blake. Our fourth quarter results illustrated our continued execution of our operating plans, along with an aggressive strategy to grow our business. During the year, we not only achieved record sales but completed back-to-back years of almost 13% growth in total sales. We also realized a double-digit increase in earnings before interest and income taxes or EBIT for the second consecutive year and we achieved this while making significant investments to build on our platform for growth. Whether it's increasing sales across channels or the initiatives underway to improve the customer experience and grow our customer base, we believe we are on track to achieve our overall financial goals of mid-teen total shareholder returns. For the full year, our earnings per diluted share were $3.14 and our EBIT totaled $1.2 billion. This is an increase of 14.2% in diluted earnings per share and an increase of 11.7% in EBIT compared with the fiscal year 2010. For the fourth quarter, our earnings per diluted share were $1.11 and EBIT totaled $417 million. This was an increase of 6.7% in diluted earnings per share and an increase of 2.8% in EBIT compared with the same period in 2010. Same-store sales in the fourth quarter were up 7.1%. Nordstrom same-store sales, which includes results from our full-line and Direct businesses, were up 8.4%, with the South and Midwest as our top-performing regions. Handbags, Designer and Cosmetics were our top-performing merchandise categories. Sales in our Direct business grew 35% in the fourth quarter. Nordstrom Rack net sales grew 17.7% in the fourth quarter, with same-store sales up 2.2%. As Blake mentioned, we opened 18 Nordstrom Rack stores this year and anticipate 15 openings in 2012. The sales productivity and return on investment continue to make expansion of this concept a compelling opportunity. Fourth quarter gross profit as a percentage of net sales increased 12 basis points to 37.7%. The improvement was driven entirely by leveraging buying and occupancy costs. Total sales per square foot increased 8.4% while inventory per square foot increased 13.3%. We believe this is appropriate given the anticipated growth in our business and recognizing that last year's inventory level was lower than planned. We ended the year with inventory turn of 5.6, in line with our 2010 record high, attributable in part to an increase in the percentage of regular-priced sales and reflective of the ongoing benefits from our multichannel capabilities. Retail SG&A increased $121 million compared to last year's fourth quarter. The increase was driven by various e-commerce initiatives and investments, including HauteLook, and by higher volume from existing and new stores. We continue to leverage SG&A expense in our stores with improvements of approximately 35 basis points over last year. Now we'll turn to our performance in Credit. Positive trends continue as our customers are spending more in our stores and using our tenders as convenient methods to transact rather than building revolving credit. This is reflected in our delinquency, write-off and payment rates, each of which experienced favorable trends. As a result, we have reduced the reserve for bad debt by $10 million. This is in addition to $20 million of reductions taken earlier this year. We ended the quarter with bad debt reserves as a percentage of ending credit card receivables of 5.5%, down from 6.9% last year. Our performance during the year added to the strength of our financial position. We generated free cash flow of $432 million. We have $1.9 billion of cash and total liquidity of approximately $2.7 billion. Our adjusted debt to EBITDAR of 2.4x is well within the range of investment grade. During the quarter, we completed a secured 5-year $325 million debt transaction at a fixed interest rate of 2.3%. We have $500 million in securitized notes that mature in April 2012. With the financing noted above, in addition to a $500 million 10-year unsecured debt transaction completed in the third quarter of 2011, we are well positioned to address this maturity. Now I'd like to take a few moments to step back from the quarterly and annual performance to discuss our business model as we go forward. To do this, I'd like to refer you to the slides that we've made available on our website in the Investor Relations section at nordstrom.com. Referencing the slide entitled, "Investing for Growth." It reinforces our overarching goals of sustainable top line growth and mid-teens ROIC as drivers of value creation. This is consistent with what we've shared with you over the past year. Historically, we built value from improved operating disciplines and efficiencies, technology tools and physical store growth. As we continue to drive growth at an accelerated pace in e-commerce, we expect that this model will evolve. E-commerce investments are expected to generate high-dollar growth in sales and EBIT, as opposed to EBIT margin, supported by a highly productive capital base. We believe that our business model will shift to a blend of these approaches as the majority of our growth comes from e-commerce, while the vast majority of our sales will come from brick and mortar. With that, I'll now turn your attention to comments on our capital plan. From a capital allocation standpoint, we're planning for $480 million to $520 million in net capital expenditures in 2012, with depreciation and amortization of approximately $370 million for the full year. It represents an increase relative to 2011 with a greater emphasis in e-commerce. In 2012, we plan to spend over $140 million in e-commerce, representing approximately 30% of our capital expenditures, compared to spend of almost $100 million or approximately 20% last year. We plan to open 1 full-line store and 15 Rack stores this year, along with a greater number of store remodels. Our current 5-year capital plan is approximately $3.3 billion. About 60% of our plan is for new stores and remodels. Approximately 30% will fund e-commerce growth, which is double the amount we had in our 5-year plan last year. Now I will focus on the 2012 guidance, which is provided based on a 53-week fiscal year.    We expect to achieve 2012 earnings per share of between $3.30 and $3.45, with same-store sales between 4% to 6%. As has been our practice, these expected results align with our operating plans, reflecting the investments we are making and appropriate sales expectation. This plan would deliver our third straight year of increasing sales by over $1 billion. Our plan for the 53rd week will increase our annual sales and earnings per share by approximately $160 million to $170 million and between $0.03 and $0.05, respectively. Our 2012 gross profit rate will range from 5 to 35 basis points lower than last year. This primarily is a function of the near-record performance of merchandise margin in 2011, along with the unfavorable gross profit impact from an increasing mix of Rack stores, the reduction of shipping revenue and the introduction of our enhanced Fashion Rewards program. We anticipate retail SG&A to be $265 million to $330 million higher than last year. The increase primarily is due to the growth in volume from existing and new stores, along with the previous-mentioned acceleration in e-commerce investments. Credit card revenue is expected to be flat to up $10 million with no anticipated growth in credit card receivables due to increased sales volume being offset by higher payment rates. Our credit SG&A expense is expected to be $10 million to $20 million higher compared to last year primarily due to the absence of planned reductions in our reserve for bad debt. EBIT as a percent of sales is planned to be in the range of 11.4% to 11.6% for the year. This is a slight decrease from last year and is a function of the increased level of investments we've described. Interest expense is anticipated to increase $25 million to $30 million, largely due to increased borrowings and a higher interest rate relative to last year. Free cash flow is planned to be approximately $400 million for 2012. This reflects our continued ability to generate cash from operations and adequately fund our aggressive growth plan.    As we've stated in the past, the highest and best use of our cash is to invest profitably in our business. Beyond that, while maintaining adequate liquidity and flexibility, we look to return value to shareholders through dividends and share repurchase, of which $310 million remains in our existing authorization. In 2012, we will include in our quarterly earnings reporting a breakout of same-store sales for Nordstrom full-line stores, Nordstrom Rack and Direct. This is a change from the last several years in which we reported full-line and Direct comp sales on a combined basis due to the substantial integration between these 2 channels. We continue to believe this is an accurate means of capturing the synergy between these 2 businesses. However, given the incremental investments we are making in our Direct business, greater transparency regarding this part of our business is warranted. As you can tell from our remarks, we are excited about the strength of our core business, the growth opportunities that lie ahead and the health of our financial position. Overall, we believe this supports our relentless desire to offer superior customer experience and increase shareholder value. With that, I'll turn the call over to Rob.
Robert Campbell: Thank you, Mike. [Operator Instructions] Operator, we'll take the first question.
Operator: Our first question is from Charles Grom from Deutsche Bank.
Charles X. Grom - Deutsche Bank AG, Research Division: If I look at your slide that you put on your website, it looks like you're anticipating EBIT dollar growth of high single digits in 2012 and then low double digits in the out years. Should we interpret that as thinking about your investment cycle as 2012 being a peak year in terms of dollar commitment and also SG&A compression?
Michael G. Koppel: Sure, Charles. This is Mike. Thanks for your question. I think, based on what we know today, 2012 is a pretty significant step change for us relative to building up our capabilities and a number of initiatives in the Direct channel. We also believe that, going forward, we're going to get more leverage out of the top line, that's going to help that. Now keep in mind what this does also say is that we're going to continue to grow the return on invested capital, and that is our focus along with the top line sales growth. Thank you.
Charles X. Grom - Deutsche Bank AG, Research Division: Okay. And if I can just sneak one more in, just on the upcoming technology initiatives, can you shed a little light on exactly what you guys are going to be doing? And I know you've been testing geofencing in some of your stores. Can you elaborate on that initiative?
James F. Nordstrom: Yes, this is Jamie. I can't speak directly to the geofencing. I can tell you a number of the things that we're doing are around the mobile space. We've got a number of different initiatives to improve the service we're giving through mobile devices both in our stores and outside the store. We're improving the speed and quality at which we can get merchandise to customers. We think we've got a big opportunity there. A lot of the tools and, frankly, the talent we need to be able to improve the service we're giving through our online efforts are some of the things we're investing in this year.
Michael G. Koppel: Charles, I, this is Mike, I'll just add one other thing that's very important. And that's the work we're doing in planning and allocation, which is something we've been working on several years, and this is the year we're going to start to implement those technologies.
Operator: Our next question is from Edward Yruma from KeyBanc Capital Markets.
Edward J. Yruma - KeyBanc Capital Markets Inc., Research Division: Can you talk a little bit -- I think you highlighted the e-commerce piece of the CapEx as being roughly $140 million, but you also cited some of these investments as being one of the reasons for a kind of down EBIT margin on a year-over-year basis. How much of that investment are you actually expensing through the P&L versus capitalizing?
Michael G. Koppel: Sure. Well, Ed, overall, you can count that there's, for roughly every $1 of capital that goes into technology, there's roughly 30% to 40% that hits the P&L in that current year. So as we've talked about in the past, when we accelerate these technology investments, it is a more rapid reflection in the P&L but then, long term, does reflect a more proficient capital base.
Edward J. Yruma - KeyBanc Capital Markets Inc., Research Division: Got you. And one follow-up, if I may. I just want to confirm that your higher interest expense is a result of the debt raise that you did and there's kind of no other reasons for that.
Michael G. Koppel: Yes, primarily, that's it.
Operator: Our next question is from Jennifer Black from Jennifer Black & Associates.
Jennifer Black: I wondered if you could talk about conversion now that you've had free shipping for a quarter. What are you seeing with the average order size? And do you find most people are shopping multiple departments due to the time-saving nature as far as shopping those departments in-store? And then I also wondered, is the information you're obtaining helping you to be more accurate in your planning and allocation for merchandise in your full-line stores?
James F. Nordstrom: Jennifer, it's Jamie. Yes, I think we've talked about the last couple quarters since we've launched free shipping that we've seen improvements in just about every customer metric we have that we can measure online. Conversion is up, as you would expect it to be. And we also look at things like average order size and units per order and cross-shopping across the website. And clearly, our free shipping offer has helped, and customers have been telling us through their purchases that they really enjoy having that offering. I couldn't tell you much about cross-shopping; those are things that we don't talk about publicly, but I can tell you that we're seeing great customer behavior, and they like it. As far as the planning and allocation, maybe, Pete, do you want to take that one?
Peter E. Nordstrom: Well, I think it's been part of our ongoing initiative that we want to have better, more actionable information and particularly given the fact that we've been able to have more fission towards the speed of our term [ph], it means it's more important that we can allocate appropriately and correctly upfront. So we've got access to better information. I think we have a good sense of where the sales are coming from and therefore where the inventory needs to be. So there's a lot of effort being made to make sure we're getting inventory in the right place upfront. So that should continue to help improve our results as we go forward.
Operator: Our next question is from Lorraine Hutchinson from Bank of America.
Lorraine Maikis Hutchinson - BofA Merrill Lynch, Research Division: Given your focus on e-commerce, can you talk a little bit about longer-term store count goals for both the full-line and the Rack concept?
Erik B. Nordstrom: Sure, this is Erik. For full-line stores, we're at 117 right now, and we think there's an opportunity around 125 in the United States. So our store count, new store count is dropping. We have 1 new store planned for this year and a couple stores in the workout -- works after that without a affirmed date attached to it. So that is slowing down. For the Rack, we continue to be in at around 15 stores a year. We have a much shorter window with Rack planning so we don't have to commit as far in advance. So for the foreseeable future, we're comfortable with that range.
Lorraine Maikis Hutchinson - BofA Merrill Lynch, Research Division: And then any thoughts on expanding into Canada?
Erik B. Nordstrom: Do you want me to?
Michael G. Koppel: Go ahead.
Erik B. Nordstrom: Okay. We've been looking at Canada for over a year now. And it is an attractive market for us. We like it for several reasons. It's -- we have a lot of customers there being as close as we are to the border and the markets are very attractive. It's a very healthy retail environment there. The challenge, as you can probably guess, is the real estate. It's a tough real estate market given the, mainly, the dense urban areas where the population is. So we have an interest in there and we think we could learn a lot that could inform us for other expansion after that, but right now, it's really a real estate question. And at this point, we haven't answered that one.
Operator: Your next question is from Paul Lejuez from Nomura.
Paul Lejuez - Nomura Securities Co. Ltd., Research Division: Can you talk a little bit about the drivers behind your comp assumption for '12 just in terms of transactions versus ticket and I then, I guess, most specifically, your AUR assumption for next year?
Michael G. Koppel: Sure. Paul, this is Mike. We usually don't break out those factors in terms of how we come up with our forward-looking numbers. But I will share with you that, in general, we planned our stores, meaning both the full-line and Rack, in the 3% to 4% increase range, and the balance was in our Direct business. And that's how we came up to the 4% to 6% range.
Paul Lejuez - Nomura Securities Co. Ltd., Research Division: And how should we think about inventory throughout the year in terms of year-over-year increase?
Peter E. Nordstrom: Well, it's, this is Pete, I think it's our ongoing quest to make sure that we're trying to grow sales faster than we're growing inventory. That's what you've seen with our improving turns, and our ability to be able to leverage all of these channels off one base of inventory enables us to do that, again, with better information. So I think you should expect to see us try to continue up with those efficiencies and have sales grow faster than inventory. That's how we're planning it.
Operator: Our next question is from Barbara Wyckoff from CLSA.
Barbara Wyckoff - CLSA Asia-Pacific Markets, Research Division: Could you talk about HauteLook in some detail? What was the drag on earnings actually last year? What is the projected drag on earnings this year? And then, could you just give me also some more specifics on what will the new planning and allocation system do that the system you have now doesn't do?
Michael G. Koppel: Okay, Barbara, this is Mike. Regarding HauteLook, the overall impact on the year was roughly $0.23. I think, when we went into the year, we estimated roughly $0.20. As far as next year, it will be roughly half of that in terms of the impact to the P&L. We expect the company to continue to grow. And we're looking at repeating that roughly 60% growth rate in 2012. And we're going to continue to invest in that business and, hopefully, over the next few years, see some more profitability there.
Barbara Wyckoff - CLSA Asia-Pacific Markets, Research Division: And the planning and allocation?
Michael G. Koppel: And the second part of the question in terms of the planning and allocation, I think the biggest advantage there is we're going to use the data that we have been accumulating through our multiple channels to develop better ways to allocate and assort our inventory plans on a store level. Currently, we're doing a lot of that with a lot of manual tools and, I think, some data tools and we're going to be able to use some technology to more efficiently help us do that through our purchase order system.
Operator: Our next question is from Dorothy Lakner from Caris & Company.
Dorothy S. Lakner - Caris & Company, Inc., Research Division: I was wondering, just 2 questions, 1 on the Rack business. You saw some really strong performance throughout much of the year, a little bit more muted in the fourth quarter so I wondered if you could address that. And then just secondly, if you could give us a little bit more color on what you're planning in terms of the mobile PS -- POS unit.
Blake W. Nordstrom: Dorothy, this is Blake. I'll address the Rack. We were really pleased with the team's efforts this last year not only with successfully opening all those new stores but continuing to grow the comp, and there were a number of initiatives on that. It is true that, though there was about a 6- or 7-month trend of pretty consistent comps and it's softened slightly in the fourth quarter, some of that was due to a pretty strong promotion that happened a year before in the month of December that we didn't anniversary. So we still had gains through it, but it muted that performance a little bit. But we're encouraged about that team and its contribution to the company and expect that through 2012.
Erik B. Nordstrom: This is Erik. On the mobile POS devices, we started about halfway through last year with about 6,000 devices in all of our full-line stores and that includes some testing in the Rack stores as well. We've had a very strong response to them. Our plan for this year is to continue to increase the functionality of those devices. Currently, about 75% of what our fixed point-of-sale devices can do, we can do on a mobile device. By the end of the year, that'll be 100%. And we will increase the number of these devices both in the full-line stores and in the Rack. So we believe more strongly today that those devices just help provide a better customer experience especially around personalization and speed.
Operator: Our next question is from Michelle Clark from Morgan Stanley.
Michelle L. Clark - Morgan Stanley, Research Division: Mike, I had a question for you. Earlier in the Q&A section, you said that you had expected to get more leverage out of the top line. Can you just remind us where you are in your leverage points today in your buying and occupancy and SG&A and then how we should think about those leverage points go forward?
Michael G. Koppel: Yes, well, in terms of our leverage points, right now, particularly the period we're going through, we're much more focused again on driving that top line and sustaining and growing the return on capital. Because part of what's going on is we're going through what we believe is a real, I would say, an incremental step-up in terms of the activity in the investment to take advantage of this e-commerce growth channel that we're seeing. And so it's tough right now because we really don't have a stable point of view and a stable model in terms of where that's settling down and so we believe that the continued investment and being there where our customer wants to be in the moment is the more important thing. And we're going to continue to invest in that.
Operator: Our next question is from Neely Tamminga from Piper Jaffray.
Neely J.N. Tamminga - Piper Jaffray Companies, Research Division: So a housekeeping question is going to be on just the change in reporting. So I hear what you're saying about the comp on full-line Rack versus Direct. Have you guys done anything internally to actually change the way that you compensate your people, since competition is kind of a big deal? And the big picture question is, you guys are definitely testing around some fun stuff over in St. Louis and Nashville in terms of store formats and flows. Just wondering, what are you learning in those new formats? How do you plan on applying some of those learnings? And give us a sense as to what that could do maybe to the remodels, and how many remodels? That'd be helpful.
Michael G. Koppel: Okay, Neely, this is Mike. In terms of the compensation, we haven't made any changes to the way our folks are compensated as a result of where the sales are going in the various channels we're selling.
Erik B. Nordstrom: As for the new stores, our new stores this last year performed -- they've done well, ahead of our plans. And they're, like all of our new stores, we apply learnings as we go along and they're all a bit different. I think the stores last year all had more of an integrated women's apparel area that were less department divisions that flowed, I think, a little better. And we've had good response to that, a little better women's apparel business as a percent of our total. We're certainly investing in remodels. We think there's big opportunity there. We've seen particularly good results when we've invested in our flagship stores, our biggest, best stores where we can invest. And often, a big part of that investment is expanding our Designer offering. To have a full Designer offer with an enhanced environment in our best locations where there's a lot of customers, a lot of tourism, has really paid off for us so we will continue to focus on those areas in particular.
Operator: Our next question is from Robert Drbul from Barclays Capital.
Robert S. Drbul - Barclays Capital, Research Division: Just 2 quick questions. First, when you look at the '13 and '14 targets on the EBIT dollars, as you put in the chart, what are the profitability assumptions around the e-commerce piece of the business in the low double-digit growth that you're targeting for those out year?
Michael G. Koppel: Well, Bob, this is Mike. We haven't really disclosed individual profit goals for the business. And I think an important part of that too is it's not just about the profit that comes from e-commerce; it's the overall value that we create for our customers through all channels and so it's tough to look at that in a silo and make some sort of assumption about that. So we're really not breaking it out. We'd like to think of this as the combined and collective offering.
Robert S. Drbul - Barclays Capital, Research Division: Got it. And then just my second question, if I could, Mike. On the inventory, the levels of the inventory, are there any pockets of inventory you guys are concerned about as you look to the beginning of this year?
Michael G. Koppel: No, Bob, the answer's no. We feel that we transitioned out of the fourth quarter very well. We did what we needed to do to assure that going into the spring. We had current and healthy inventories. Some of the growth you're seeing is reflective of the continued growth in the assortment in the online business, as well as anticipated volume levels that we anticipated in the month of February.
Operator: Our next question is from Paul Swinand from Morningstar.
Paul Swinand - Morningstar Inc., Research Division: Just along those same lines with the inventory, obviously, you've got industry-leading turns. I'd assume, as e-commerce grows, that would make turns go even faster. But maybe I don't understand it or maybe there are different things about the business as it grows that would maybe not make it turn as fast, right?
Peter E. Nordstrom: This is Pete. I think, in general, it's made it go faster because we have a shared inventory that we've used so we're just -- it's more efficient. What's going to change, though, is as we work to do a better job of gaining top line, that's going to probably imply us having some more offer and selection online, and we've got to invest in that. And I think there's going to be a period of time when we really understand how that inventory works for us. So we're trying to gauge how far we can go in terms of the breadth of our offer online and still have it be efficient.
Paul Swinand - Morningstar Inc., Research Division: So I guess, short term, it's accretive, but long term, maybe neutral.
Michael G. Koppel: I -- we have to learn. I mean, this is a -- in the scheme of the life of this channel, we're in very early stages. And I think we have a lot to learn about how to do that. But all that being said, it's that we see it as a significant growth opportunity, and we'll fund it appropriately.
Operator: Our next question is from Deborah Weinswig from Citigroup.
Deborah L. Weinswig - Citigroup Inc, Research Division: So 2 questions. Number one, Blake, in your prepared comments, you spoke about expanding your online merchandise selection. Well, does that mean your online offering will differ from what's in stores?
Blake W. Nordstrom: Deborah, we just talked about it in the previous question and both Pete was talking about it, and Mike, a little bit. I think we prided ourself as merchants to try to have an edited buy, a balanced buy within the confines of our customer demand in the store and space constraints and flow and a number of issues. And so as we've applied that from kind of our roots to online, to date, that's served us pretty well. But as we continue to listen to our customer, they're expecting and demanding even more selection and they want that search engine to be that efficient means to quickly go to the item or items that they're hoping to have. So that means more SKUs for us. And whether that's leveraging what we have in our stores, whether that's our facility at Cedar Rapids or, down the road, the possibility of another facility, whether that's drop ship, we have to execute on what the customer is looking for. And we think, at this point, selection is really important online. And so as Mike said, we're on a steep learning curve there. We're going after it, and we expect to succeed there.
Peter E. Nordstrom: I will just say to add, this is Pete, that we would -- you would expect to find the same brands and classifications but we might be able to go with more selection in those brands than we could typically offer in a store, so the selection will grow in some regard.
Deborah L. Weinswig - Citigroup Inc, Research Division: Okay. And then on January 20, I think it was announced that Obama was easing the Visa rules to boost U.S. tourism. Obviously, with the -- as you mentioned, you were kind of increasing your kind of Designer merchandise selections and obviously have a lot of stores on the West Coast that could easily benefit from this. Can you talk about if you've incorporated anything of that into your comp estimates for 2012? And how you're thinking about that in terms of your merchandise selections?
Michael G. Koppel: Yes, Deborah, we have not assumed anything in our comps as it relates to that change. Hopefully, we'll get some benefit, but we didn't bake anything in.
Operator: Our next question is from Liz Dunn from Macquarie.
Lizabeth Dunn - Macquarie Research: I guess -- I've so many questions, but I'll start with, what's -- can you give us an update on women's? After the departure of Loretta Soffe, sort of what's going on with that business? And then I thought you said that the capital plan was $3.3 billion for over 5 years, which if you just straight-line it, is a little bit more than the CapEx that you've guided to for 2012. So could you just help reconcile that?
Peter E. Nordstrom: This is Pete. With regards to women's, yes, it's been a challenging year for us. And that has prompted some changes, as you mentioned, with our leadership there. I think that we expect that we should be able to do better and we should be able to do better right away. There's a lot of things we've tried this last year both related to what we're carrying and how we merchandise it in the stores. And I think we're getting to a place where we're able to draw some conclusions from that, that we can apply across more stores and, obviously, in the spirit of being able to grow the business. So I don't really have anything to announce there right now other than, clearly, we weren't satisfied with the results we had so we're making changes to improve those results.
Michael G. Koppel: And Liz, this is Mike, regarding your question on the $3.3 billion plan, included in that plan, in the tail end of those 5 years is roughly $600 million that relates to potential opportunities in the Canada market as well as Manhattan.
Operator: Our next question is from Richard Jaffe from Stifel, Nicolaus.
Richard Ellis Jaffe - Stifel, Nicolaus & Co., Inc., Research Division: Just a question. We've talked -- you've talked a lot about return on invested capital in your long-term objectives. Could you talk about how you guys internally view HauteLook, if you're holding them to the same ROIC standards as you hold the other divisions? Or is it really a Skunk works kind of operation where you're using it as a test and learning experience rather than an ROIC-driven kind of investment?
Michael G. Koppel: Sure, Richard. This is Mike. I mean, our goal is that we want to grow businesses to create value. And I think, clearly, we took a high risk by going into an early-stage business that tends not to have the same kind of operating metrics as more mature businesses do. Long term, we do have those kind of expectations. We also believe it's going to create value, return value for the greater enterprise. So that being said, the learnings we're getting from it and the accelerated top line growth we're getting, we hope that, over time, will help us deliver the kind of return goals we have.
Operator: Our next question is from Erika Maschmeyer from Robert W. Baird.
Erika K. Maschmeyer - Robert W. Baird & Co. Incorporated, Research Division: Do you think 2012 is going to be another year where we see accessories continue to outperform apparel? And could you talk a little bit about the trends that you saw for boots over the holidays? We've heard that prices on some brands are going to be going up fairly substantially for next year. Do you think that can continue and we can continue to see nice increases in units there?
Peter E. Nordstrom: What -- with regards to the question on accessories, we've had -- I mean, I don't know how many years in a row we've had kind of outpaced growth there, but it's been several. So I certainly don't see anything in the business that would indicate that, that's slowing down. We've got good traction in those classifications. We have good leadership and good merchandising strategies. And our plans are that we will continue to grow that business at least fast, if not faster, than the rest of the total business and as it all rolls up. The other question was about boots, specifically. We had a great boot season this last year. I mean, our shoe division just had a really excellent year kind of across the board and, in large part, because they planned well around the demand for boots, not only in the fourth quarter, but really kind of all throughout the year as it applied across fashion. And I think that, that will continue to evolve, but for us, that meant we had some average higher unit retail prices and that, that worked out well for us. But I don't think it's fair to assume that, that will continue to go an upward trajectory. I know that our group is really looking at other ways to tap into new growing markets. So I don't think there's going to be a big seismic shift away from boots to something else, but I think that should probably flatten out some and we'll see other categories emerge that we can grow with.
Erika K. Maschmeyer - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just a follow-up. What was the gross margin impact from free shipping in Q4?
Michael G. Koppel: Well, we didn't really comment, but it's been, and we said in Q3, roughly 10 to 15 basis points to the total company.
Operator: And our final question today is from Michael Exstein from Crédit Suisse.
Michael Exstein - Crédit Suisse AG, Research Division: Just a couple quick points of clarification. Number one, when you talked about the loss from HauteLook, that is not an incremental $0.10, $0.12 or $0.15 but a reduction year-over-year...
Michael G. Koppel: That's correct. That's correct, Michael.
Michael Exstein - Crédit Suisse AG, Research Division: Great. And then in terms of, how come depreciation is sort of growing at a lower percentage rate than CapEx this year?
Michael G. Koppel: Well, because it's still catching up to the CapEx rate. The growth this year and the way, Michael, that the CapEx is coming on the books is just the relative timing of when that's happening. To assume that all that capital is going to come on in the first day is probably not likely. Thank you.
Robert Campbell: Thank you for joining us today for our Fourth Quarter Earnings Call. As a reminder, a webcast replay of this call will be available for one year on the Investor Relations section of nordstrom.com under Webcasts. Thank you for your interest in Nordstrom. Goodbye.
Operator: Thank you. And this does conclude today's conference. Thank you for participating, and you may now disconnect.